Operator: Greetings and welcome to the CVR Energy Fourth Quarter 2016 Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Jay Finks, Vice President of Finance. Thank you, Mr. Finks. You may begin.
Jay Finks: Thank you, Doug, and good afternoon, everyone. We very much appreciate you joining us this afternoon for our CVR Energy fourth quarter 2016 earnings call. With me today are Jack Lipinski, our Chief Executive Officer; and Susan Ball, our Chief Financial Officer. Prior to discussing our 2016 fourth quarter results, let me remind you that this conference call may contain forward-looking statements as that term is defined under Federal Securities laws. For this purpose any statements made during this call that are not statements of historical facts may be deemed to be forward-looking statements, without limiting the foregoing, the words outlook, believes, anticipates, plans, expects and similar expressions are intended to identify forward-looking statements. You are cautioned that these statements may be affected by important factors set forth in our filings with the Securities and Exchange Commission and in our latest earnings release. As a result, actual operations or results may differ materially from the results discussed in the forward-looking statements. We undertake no obligation to publicly update any forward-looking statements, whether as a result of new information, future events or otherwise, except to the extent required by law. This call also includes various non-GAAP financial measures. The disclosures related to such non-GAAP measures, including reconciliation to the most directly comparable GAAP financial measures are included in our 2016 fourth quarter earnings release that we filed with the SEC this morning prior to the opening of the market. With that said, I’ll turn the call over to Jack Lipinski, our Chief Executive Officer. Jack?
Jack Lipinski: Thanks, Jay. Good afternoon, everyone, and thanks for joining our call. Hopefully, you had the opportunity to listen to the CVR Partners and CVR Refining calls earlier today. This morning, we reported CVR Energy’s fourth quarter consolidated adjusted net income of $4.4 million or $0.05 per diluted share, as compared to a net loss of $4.3 million or $0.05 loss per diluted share in the fourth quarter of 2015. In a few minutes, Susan will provide you with more details on the financials we reported this morning. We also today announced a quarterly cash dividend of $0.50 per share which will be paid on March the 6th to stockholders of record on February the 27th. Let me talk a little bit about each of our segments, first petroleum. CVR Refining’s 2016 fourth quarter adjusted EBITDA was $27.7 million and that compared to $16.4 million a year ago. CVR Refining’s total crude throughput for the fourth quarter was approximately 207,000 barrels per day. Coffeyville processed 132,000 barrels a day of crude, which is a new quarterly record for the plant, while Wynnewood ran about 75,000 barrels a day of crude. Continued exorbitant RINs expenses and lower Group 3 crack spreads impacted CVR Refining’s ability to declare a distribution this quarter. Now, turning to our fertilizer business. CVR Partners announced a 2016 fourth quarter adjusted EBITDA of $18.3 million as compared to $28.5 million in the fourth quarter of 2015. Operationally, CVR Partners continues to post high on-stream. In the fourth quarter, Coffeyville gasifier ran at 96%, the ammonia unit operated at 91% and the UAN plant ran at 93%. Similarly, East Dubuque’s ammonia unit ran at 99% and the UAN plant operated 98%. Primarily, as a result of the challenging nitrogen pricing environment and the deferral of the ammonia deliveries to the spring for East Dubuque, CVR Partners was not in a position to pay a distribution for the fourth quarter of 2016. Now, I’ll turn the call over to Susan and let her discuss the financials. Susan?
Susan Ball: Thank you, Jack, and good, afternoon. Net income attributable to CVR Energy’s stockholders was $7.1 million in the fourth quarter of 2016 as compared to a net loss of $45 million in the fourth quarter of last year. Adjusted net income for the 2016 fourth quarter was $4.4 million or $0.05 per diluted share compared to a net loss of $4.3 million or a loss of $0.05 per diluted share in the fourth quarter of 2015. We believe adjusted net income is a meaningful metric for analyzing our performance as it eliminates the impact of non-cash and other unusual items inherent in our business and provides a more transparent view as to the market expectations. The adjustments to net income during this 2016 fourth quarter to derive adjusted net income were the favorable impacts as a result of our accounting under first in first out or a FIFO inventory accounting method of $22.4 million; loss on derivatives not settled during the period of $15.8 million; and a gain on extinguishment of debt of $200,000. The adjustments for the 2015 fourth quarter were an unfavorable FIFO impact of $26.6 million; major schedule turnaround expenses of $84.9 million; gain on derivatives not settled during the period of $15.5 million; share-based compensation of $3.7 million; and expenses associated with the Rentech Nitrogen Partners acquisition of $800,000. These adjustments to net income are reduced for the portion of -- attributable to the non-controlling interest and are further reduced for the net tax impact associated with them. As a reminder CVR Energy owns 66% of the petroleum segment or CVR Refining and 34% of the fertilizer business, CVR Partners. The fourth quarter 2016 effective tax rate was approximately 79% as compared to 21% in the fourth quarter of 2015. The effective tax rate for the year ended December 31, 2016 was approximately 182% as compared to 22.1% for 2015. The combined federal and state expected statutory rate for the year ended December 31, 2016 was approximately 39% as compared to an approximate 40% for 2015. Our 2016 effective tax rate varied from the expected statutory rate, primarily due to the reduction of loss, subject to tax associated with the non-controlling ownership interest in CVR Refining and CVR Partners earnings. The benefits related to domestic production activities, which is section 199 and state income tax credits and other state income impacts, all in correlation with the overall low levels of pretax income. I will now turn to the specific performance of our two business segments impacting our overall quarterly results. As Jack mentioned earlier, CVR Refining’s adjusted EBITDA for the 2016 fourth quarter was $27.7 million as compared to $16.4 million in the same period in 2015. The increase was primarily driven by higher crude throughput, partially offset by lower Group 3 crack spreads and increased RINs expenses. As a reminder, the 2015 fourth quarter was impacted by the first phase of Coffeyville’s bifurcated turnaround. In the fourth quarter 2016, CVR Refining’s realized refining margin adjusted for FIFO was $7.32 per barrel as compared to $8.96 in the same quarter of 2015. The NYMEX 2-1-1 crack spread averaged $14.70 per barrel in the fourth quarter of 2016 as compared to $14 per barrel in the same period of 2015. PADD II Group 3 2-1-1 crack averaged $11.60 per barrel in the fourth quarter of 2016 as compared to $13.91 in the fourth quarter of 2015. Now turning to the fertilizer segment and as a reminder, the East Dubuque transaction occurred on April 1. So, as such, year-over-year comparability is significantly impacted across the line items reported in our financials. As mentioned earlier, CVR Partners’ fourth quarter adjusted EBITDA was $18.3 million as compared to $28.5 million in the same period last year. The decrease in adjusted EBITDA over the period was primarily a result of lower UAN and low fertilizer pricing. UAN average product price at gate for the fourth quarter 2016 was $147 per ton as compared to $221 per ton in the prior year fourth quarter. Our cash position remains strong as we ended the year with cash and cash equivalents of approximately $736 million on a consolidated basis. This included approximately $56 million held at CVR Partners and $314 million at CVR Refining. As such, CVR Energy held cash of approximately $366 million as of December 31, 2016. Total consolidated gross debt as if December 31 was approximately $1.2 billion as compared to $674 million as of December 31, 2015. The increase was due to CVR Partners completing the $645 million senior secured note offering in conjunction with the East Dubuque acquisition in the second quarter. CVR Energy has no debt exclusive of the debt that resides at CVR Refining and CVR Partners. As of December 31, CVR Refining’s gross debt approximated of $547 million and CVR Partners’ gross debt of approximated $647 million. With that Jack, I will turn the call back to you.
Jack Lipinski: Okay. Thank you, Susan. And again, hopefully, you all had the opportunity to listen into our CVR Partners’ call this morning and the CVR Refining call. And with that, I’ll turn it over to the operator for questions. Thank you.
Operator: Thank you. Ladies and gentlemen, we will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Neil Mehta with Goldman Sachs. Please proceed with your question.
Neil Mehta: Hey Jack, Susan. Good afternoon.
Jack Lipinski: Yes. Good afternoon.
Susan Ball: Good afternoon.
Neil Mehta: So, first question is just on the sustainability of the dividend that’s at the parent, at CVR Energy. Can you just talk about that? And you’re in a terrific position from a balance sheet perspective, but the macro is obviously difficult for Refining. How comfortable do you feel with the dividend and the current levels?
Jack Lipinski: Well, I’ve had this question on many, many calls. Obviously, we’ve got a very pristine balance sheet. And we also believe that both our businesses will see better days in 2017 than they did in 2015. Now, what is the absolute sustainability of the dividend back, it’s discussed with our Board every quarter. And realistically, with the large ownership of the underlying subsidiaries, it doesn’t take a whole lot for CVR Refining or UAN to contribute significantly cash back up to the parent. So, the short answer is we look at it every quarter, and while that last year was obviously a very difficult year, we think the sun will rise and it will shine once again. We can have the difficult period. And we felt at this time not to reduce the dividend, but again this gets reviewed every quarter.
Neil Mehta: I appreciate that Jack. And I’m sorry if I missed this on the call earlier, the Refining call, but Coffeyville ran exceptionally well here in the fourth quarter. Anything you would call out just from a plant performance perspective and from the sustainability of that kind of throughput level?
Jack Lipinski: Well, I mean you can see from our forward projection of rates, I don’t think we’ve ever put a 210,000 forward top-end forecast. Both plants are running very, very well right now. And if you think about it, we are, knock on wood, we are more than half way through the quarter. So, there is nothing. Generally our downtime becomes unforeseen. I mean, you go back to last year, losing third-party power, because an incident and end up. We will have a winning return around later this year, which will reduce rates. And the question was what would that be? I’d have to look at the exact numbers, but it’s roughly coming plant capacity in half of the duration of that turnaround.
Neil Mehta: Yes. Alright, Jack, Susan, thanks again.
Jack Lipinski: Thank you very much, Neil. Have a good day.
Operator: This is all the time we have allotted for question. This does conclude our question-and-answer session. I would like to hand it back over to management for closing comments.
Jay Finks: Thank you, Doug. I’d like to thank everyone for listening to our conference call today. As a reminder, our conference call along with CVR Refining and CVR Partners will be available for replay during the next 14 days. You visit our website cvrenergy.com or contact Investor Relations for additional information. Thank you.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.